Operator: Good afternoon. Thank you for joining Tetragon Investor Call Full Year 2024. You are all in listen only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the homepage of the company's website, www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. As a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: As one of the principals and founders of the Investment Manager of Tetragon Financial Group Limited, I would like to welcome you to our investor call, which will focus on the company's 2024 results. Paul Gannon, our CFO, will review the company's financial performance for the period. Steve Prince and I will talk through some of the detail of the portfolio and performance, and Steve will spend some time discussing the outlook. As usual, we'll conclude with questions, those taken electronically via our web-based system at the end of the presentation as well as those received since the last update. The PDF of the slides are now available to download on our website, and if you're on the webcast, directly from the webcast portal. Before I go into the presentation, some reminders. First, Tetragon's shares are subject to restrictions on ownership by U.S. persons and are not intended for European retail investors, and these are described on our website. Tetragon anticipates that its typical investors will be institutional and professional investors who wish to invest for the long term and have experience in investing in financial markets and collective investment undertakings who are capable themselves of evaluating the merits and risks of Tetragon shares and who have sufficient resources both to invest in potentially illiquid securities and to be able to bear any losses that may result from the investment, which may equal the whole amount invested. I'd like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. So with that as an intro, I'd like to pass over to Paul.
Paul Gannon: Tetragon continues to focus on three key metrics when assessing how value is being created for and delivered to Tetragon shareholders. How value is being created via the NAV per share total return, how investment returns are contributing to value creation measured as a return on equity and how value is being returned to shareholders through distributions, mainly in the form of dividends. Fully diluted NAV per share was $35.43 at the 31st of December '24, with a NAV per share total return of 15.4% for the year. Since its IPO in 2007, Tetragon has achieved an annualized NAV per share total return of 10.8%. For monitoring investment returns, we use an ROE calculation, which was plus 14.6% for 2024, net of all fees and expenses. The average ROE achieved since IPO is now 11.4%, which is within the target range of 10% to 15%. Looking at the final key metric, Tetragon declared a dividend of $0.11 for the fourth quarter of 2024, which represents a dividend of $0.44 for the full year. Based on the year-end share price of $14, the last four quarters dividend represents a yield of approximately 3.1%. Tetragon also returned approximately $25 million to shareholders through a tender offer in April, and we will reference this again when we go through the next slide, which is the NAV bridge. So this slide shows a NAV bridge, breaking down into component parts, the change in Tetragon's fully diluted NAV per share from $31.13 at the end of 2023 to $35.43 per share at the end of '24. So the component parts are investment income, which increased NAV per share by $6.45. Operating expenses, management and incentive fees, which reduced NAV per share by $1.54 with a further $0.28 per share reduction due to interest expense incurred on the revolving credit facility. On the capital side, gross dividends reduced NAV per share by $0.44. There was a net dilution of $0.46 per share, which is labeled as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends plus the additional recognition of equity-based compensation shares. This was offset by share repurchases, which are accretive to NAV per share, increasing this number by $0.57. Tetragon repurchased $25 million of its nonvoting shares during the year with a tender offer completed in April. Inception to date, the company has returned approximately $1.75 billion to investors through dividends and share repurchases. I will now hand back over to Paddy.
Paddy Dear: Thanks, Paul. As on previous calls, before we delve into the details of performance for the period in question, I'd just like to put the company's performance into the context of the long term. As a reminder, Tetragon began trading in 2005 and became a public company in April 2007. So the fund has approximately 20 years of trading history. What this chart does is show the NAV per share total return, which is that thick green line at the top; the share price total return, which is the dashed green line, and this is all since IPO. The chart also shows the equity indices being the MSCI ACWI and the FTSE All-Share. And lastly, it shows the Tetragon hurdle rate of SOFR plus 2.75%. So as you can see on the graph, over that time, Tetragon has been -- over the time that Tetragon has been trading as a publicly listed company, the NAV per share total return at that top line is 511%. And as I said before, as Warren Buffett observed, compounding is the eighth wonder of the world. And we believe that our somewhat idiosyncratic structure of a listed fund owning alternative assets and a diversified alternative asset management platform has helped us create an alpha-driven ecosystem of ideas, expertise, insights and connections that helps us to do this. Continuing the theme on this next slide of looking at the long term, here are some more performance metrics. The return on equity, that is to say the investment return for 2024, as Paul mentioned, was 14.6%. And our target over the long term and over many multiple different cycles is to have that within 10% to 15%. So not only did we achieve that for 2024, but the average return since IPO is 11.4%, so again, within that range. This table also shows that over 40% of the public shares are owned by principals of the investment manager and employees of TFG Asset Management. And we believe this is a very important metric. It demonstrates a strong belief in what we do as well as a strong alignment of interest between the manager, TFG Asset Management employees and of course, Tetragon shareholders. The next slide I have here shows the composition of Tetragon's assets. So it's looking at the breakdown of the $3.2 billion of NAV that Paul referred to earlier. What these colored discs do is show the percentage breakdown of our asset classes and strategies as of the end of 2023 on the left and then compares them with the end of 2024 on the right. And I would just like to highlight sort of three major changes here. Our private equity and venture capital is now up to 22%, and that's up from 16% over the previous year. As you'll see in a moment, the main driver for that has been performance. Secondly, I'd highlight that bank loans now represent approximately 5% of the company's portfolio, and that's down from 8% at the beginning of 2024. The driver for that has been primarily that we've received cash through those CLOs, but we have not been replacing with new CLOs. And the third point I would note here is private equity and asset management companies is up from 44% to 45%. And as you'll see in a moment, these businesses have continued to grow throughout the year, plus also released cash back to the business. So now if we move on to discuss the performance for 2024 in more detail. The NAV bridge that Paul showed was a high-level overview of NAV per share. And what I'd like to do now is show you this table that shows a breakdown of the composition of Tetragon's NAV at the end of '23 and compares it to the NAV at the end of 2024, but broken down by asset classes and shows the factors contributing to those changes in NAV. So this table shows investment performance plus capital flows and hence, tying back to the change in NAV. So you can see from the bottom row of the table that the aggregate investment performance, and that's the gains and losses, was a gross profit for the period of $575 million. And there were three large drivers of that return. $280 million of that was from our ownership in Equitix, our infrastructure asset manager, which is part of TFG Asset Management. The second largest of the $153 million came from Ripple Labs, the private blockchain and crypto business that supports the XRP ledger and $126 million being the third largest mover was from an Australian gold mining company, which is one of the investments within a Hawke's Point Fund. Now I just pause for a moment because it's hard to imagine -- I find it hard to imagine three less correlated investments. And I think in a way, these three investments exemplify our diversified approach and our focus on identifying attractive alternative investment strategies but may be more likely to have low correlation both to markets and indeed to each other. But now let me take you through the asset classes in slightly more detail. The first one there is TFG Asset Management. So this is our private equity holdings in asset management businesses. And the total gain for that asset class was $300 million. These asset management businesses continue to grow and perform well. And as we said, the best performing segment for our portfolio, and that obviously includes the Equitix investment that I just mentioned. The second line item is hedge fund strategies. These are event-driven equities, convertibles and other hedge fund strategies, and these gained $33 million for the year. Bank loans, which are investments through CLOs had a loss of $16 million for the year. Moving down the columns -- sorry, down the row, real estate had a loss of $18 million. As I mentioned, private equity and venture capital had a large gain, and this was in aggregate $285 million. This includes, as I mentioned, both the Ripple investment and the Hawke's Point funds as direct and private equity investments. Legal assets had a gain of $4 million. And lastly, other equities and credit lost $12 million on the year. So what we'd like to do now is break it down one stage further and go into detail on each of these categories. And therefore, to start, we'll start at the top with TFG Asset Management, our private equity investments in asset management companies. And to do that, I'm going to pass it over to Steve.
Steve Prince: Thanks, Paddy. Before I review the performance of TFG Asset Management's constituent businesses, I wanted to take a moment to remind listeners of TFG Asset Management's strategy and key value proposition. We continue to look to add new strategies and help individuals and teams to create successful asset management businesses by leveraging TFG Asset Management's operating infrastructure and shared strategic direction with Tetragon, which can support asset management businesses through co-investment and working capital. At the same time, we continue to look for creative ways to help our partners grow their existing businesses, which may involve selling partial stakes or whole businesses that we and they believe it may unlock future growth and value. I would now like to move on to the performance of our asset managers during the year. TFG Asset Management recorded an investment gain of $300 million during the period. First, Tetragon's investment in Equitix made a gain of $280 million, driven by a combination of: a, higher valuation as the business continued to deliver against its business plan and an increase in observable market multiples from 9.5x to 10.75x; b, dividend income received by Tetragon of approximately $88 million; and finally, c, an increase in the assumed ownership level from 75% to just over 81%. Second, BGO generated a gain of $36 million. Distributions to Tetragon totaled $17 million, reflecting fixed and variable payments. The valuation of BGO is on a discounted cash flow basis with an assumed exit upon exercise of a call put option in 2026, 2027. The main drivers of the gain were: a, an unwinding of the discount and a reduction in the discount rate; and b, an increase in the value of expected carry interest in addition to actual payments received from the BGO funds. Finally, Tetragon's investment in LTM, which manages bank loan assets through CLOs, made a loss of $35 million. During the period, LCM's AUM decreased by 18%, reflecting amortization of existing deals. LCM did issue two new deals and reset or refinanced four deals during the year. TFG Asset Management's other asset managers produced a collective gain of $20 million during 2024. Most of this gain was attributable to Acasta Partners and Contingency Capital driven by performance of the funds and capital raised during the year. As a reminder, the other managers within TFG Asset Management include Westbourne River Partners, an alternative asset manager focused on event-driven investing in European small and mid-cap equities; Acasta Partners, an alternative asset manager employing a multidisciplinary approach; Tetragon Credit Partners, a structured credit investing business focused on primary CLO control equity; Hawke's Point, an asset management business that provides strategic capital to companies in the resource sector; Banyan Square Partners, a private equity firm focused on non-control equity investments opportunities and opportunistic investments in public equity and credit instruments. And finally, Contingency Capital, a global asset management business focused on credit-oriented legal assets. During 2024, Contingency Capital launched its second fund and established an evergreen vehicle. Those efforts brought aggregate AUM to $1.2 billion. Paddy will now go over our hedge fund investments.
Paddy Dear: Thanks, Steve. Tetragon invests in event-driven equities, convertible bonds, credit and a few other strategies through hedge funds. The majority of these investments are through funds managed by Westbourne River Partners and Acasta Partners, both of which are part of TFG Asset Management. So for 2024, our investment in the Westbourne River European event-driven strategies recorded a gain of $13 million. And to put that in context, the net performance of the fund for the year was up 9% for its long biased share class and up 1.3% for its low net share class. Investments in Acasta Partners generated a gain of $15.5 million. And again, for context, the net performance in the Acasta Global Fund was up 14.3% for the flagship share class. And the fund actually won the 2024 with Intelligence EuroHedge Award in the volatility and options category. It has been nominated for that award 13 times and won six since its inception in 2009. Investments in other hedge funds, including the global equities fund, had a gain of approximately $4 million during 2024 and obviously still remains a small part of the portfolio. Moving on to the next asset class, which is bank loans. Tetragon predominantly invests in bank loans through CLOs, taking majority positions in the equity tranches. Tetragon's investments are split as shown here between those directly owned U.S. CLOs, which are generally managed by LCM and funds managed by Tetragon Credit Partners. And we continue to view CLOs as the correct vehicles for obtaining long-term exposure to leveraged loan asset class. In aggregate, our bank loan investments recorded a loss of $16 million for the year 2024. As you can see from this slide, we received cash during the period of approximately $74 million, but you can also see that new investments were approximately $12 million and hence, the reduction in exposure to CLOs over the year. The negative performance was generally driven by actual defaults during the year, some recoveries below expectations and therefore, both realized and unrealized losses. And on the more positive side, interest rates stayed a little higher for longer and thus increasing the cash flows that flow through the CLO structures. The next slide is our investments in real estate. And as a reminder, Tetragon holds most of its investments in real estate through BGO managed funds and co-investment vehicles. The majority of these are private equity style funds concentrating on opportunistic investments targeting middle market opportunities in the U.S., Europe and Asia and with particular focus on the growth sectors such as logistics, data centers, cold storage. In aggregate, these funds had a net loss of $14.7 million during the period. And the losses stem mainly from the U.S.-focused funds, and that in turn was mainly due to exposure to commercial, residential and hotels. You can see here that the cash received from the fund distributions during the year was $19 million and new investments made during the year was approximately the same at $19 million. The last item here is other real estate, and this is farmland investment in Paraguay, managed by a specialist third-party manager. The investment had a small loss, minus $3.3 million, and that was after a third-party revaluation during the year. I'll now hand you back to Steve to carry on.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments was a top driver of performance during the year, generating gains of $285 million. Investments in this category are split into the following subcategories. The top driver was in the direct private equity bucket, which produced gains of $153 million related to the investment in Ripple Labs. Performance was driven by tender offers conducted by the company. In addition, while the SEC continues to appeal the 2023 court ruling, the election of President Trump drove favorable developments in the crypto regulatory landscape, including the resignation of SEC Chair and Ripple advisory, Gary Gensler. Additionally, in August 2024, Ripple was assessed a penalty far below the amount sought by the SEC. Secondly, Tetragon's resource finance investments managed by Hawke's Point generated a gain of $126 million. This was primarily driven by increased production and expanding margins at one of its Australian gold project investments. Tetragon invested an additional $3.8 million into Hawke's Point funds and received distributions of $48 million during the period. Third, investments managed by Banyan Square, whose portfolio companies achieved solid operating results with a continued focus on profitability. The investment generated a gain during the period of $0.6 million. Banyan Square's positions include investments across the application software, infrastructure software and cybersecurity space. During 2024, Banyan Square launched Fund II, which currently has three positions. The final category is our investments in externally managed private equity funds and co-investment vehicles in Europe and North America. These investments generated gains of $4.5 million in 2024, and they were spread across 38 different positions. Now moving on to legal assets. Tetragon makes investments in legal assets through vehicles managed by Contingency Capital. Tetragon has committed capital of $60 million to Contingency Capital Fund I, $40 million of which has been called to date, including $8 million during 2024. A gain of $4.3 million was generated from this investment. Contingency Capital was almost fully invested in Fund I by the end of 2024. It held a first close for a new evergreen fund in 2024 and a first close for Fund II. Tetragon committed capital of $10 million to Fund II. The performance of the Contingency Capital Fund I portfolio continues to be above underwritten projections and performance targets and the performance of this portfolio remains uncorrelated to the public equity and debt markets. Moving on to other equities and credit, and I'll cover cash. Tetragon makes investments directly on its balance sheet, reflecting single strategy ideas. These ideas are either as co-investments alongside our TFG Asset Management managers or at times idiosyncratic investments. The flexibility to invest in these opportunities is a benefit of Tetragon's structure. Each of these investments tend to be opportunistic and with a catalyst. This segment generated a loss of $12.2 million during 2024. While most of the positions contributed gains, these were outweighed by negative contributions from two positions that have been positive drivers in 2023. The first, a biotech company retraced as comparable peers reported mixed trial results in the first half, diminishing market enthusiasm for their autoimmune therapies. The second, a leader in AI-assisted workflow automation fell in the second quarter due to a CEO change and market disappointment over a reduction of forward sales guidance. As we see the CEO change as welcome news, we use this as an opportunity to materially increase our stake during the year. During 2024, we added seven positions and exited four, including our sole credit position. Moving on to cash. Tetragon's cash at bank balance was $30.5 million at the end of the year. After adjusting for known accruals and liabilities, both short and long-dated, Tetragon's net cash balance was negative $339 million. Tetragon has access to a credit facility of $400 million with a maturity date of July 2032. As of the end of December, $300 million of this facility was drawn, and this liability has been incorporated into the net cash balance calculation. Tetragon actively manages its cash levels to cover future commitments and to enable it to capitalize on opportunistic investments and new business opportunities. During the period, Tetragon used cash as follows: $330 million to make investments, $43 million to repurchase shares and $22 million to pay dividends. $462 million of cash was received as distributions and proceeds from the sale of investments. Future cash commitments are $81 million, and those comprise investment commitments across BGO funds, private equity funds, Tetragon Credit Partners, Contingency Capital Funds and working capital loans to certain TFG Asset Management managers. Going to the final slide, I'm going to go through a few of our future investment expectations. As you can see, we expect a number of those expectations to remain stable. We expect hedge fund exposures to remain stable, for instance. We continue to expect to invest in CLOs via various Tetragon Credit partner vehicles. But at the same time, we expect to continue receiving cash back from some of those initial funds. Hence, we expect that to be a stable allocation. In terms of our investments, that too, we expect to be stable as we have a number of commitments to BGO funds, but we also expect our existing investments will continue to distribute capital. We expect our private equity allocations to keep growing, and there are a few additional LP commitments we have yet to fund. We also expect our Banyan Square allocation to continue to grow. In legal assets, Tetragon will continue funding its commitment to contingency capital vehicles. In other equities and credit, we expect that to continue to grow, but the timing of those investments is less certain because they depend on compelling investment opportunities. Lastly, we are hopeful that we will be making additional allocations to new asset classes, but there's nothing to report at this time. I will now hand it back to Paddy.
A - Paddy Dear: The presentation, and we've got quite a few questions in here, so I'm going to try and sort of group them, into various different themes. And the first theme, is about Tetragon's investment in Ripple. Some of the questions read as follows. Firstly, what are your plans with the XRP investment? Secondly, is there any exit mechanism, or exit path baked into the Ripple position, which probably has developed well, but makes a lot of Tetragon investors uncomfortable? Another reads in view of the surge in value, were you able to sell part of the Ripple position? And there were a couple of others, but I think they're all sort of on the same theme? So just to reiterate, Tetragon owns A shares and B shares in Ripple. We don't own XRP directly, but as I think most of you are aware, XRP is a crypto-currency that is pre-mined and Ripple. The company owns a lot of XRP on its balance sheet. So, in addition to its daily operations, it has a balance sheet that fluctuates with XRP valuation, and therefore the XRP valuation is very relevant. Ripple itself is a private U.S. company, an enterprise blockchain company and as mentioned obviously, supports the XRP crypto-currency ledger. The shares are not public, they do trade on private exchanges, and indeed that is how we get the price, from broker quotes on private exchanges. And no, there are no immediate expectations of liquidity. However, the company has been doing regular buybacks over the last few years, and you'll see from our numbers that we sold $15 million worth of Ripple in 2024, and this was into buybacks initiated by the company. Obviously XRP, the currency does trade. It is, or has been or can be volatile. Steve was talking about the SEC case that was launched a few years ago. And until, I guess, the fourth quarter, the price of XRP had pretty much been between $0.30 and $0.75 for the last few years. With the fourth quarter with Trump's election, XRP moved to trade more recently between $2 and $3. I think is roughly $2.50 as of last night. This gives us a market cap of about $3 trillion. And obviously, Trump has been very vocal about being pro crypto, and even mentioning that there should be a crypto reserve that should include XRP. So those are all the things that have sort of been happening over the last few months. Second theme on questions, is about our cash position and that is obviously relevant to potential, for buying back shares. The main question that our read goes as follows. Given the amount of cash on hand and the 60% discount to NAV, would you consider purchasing more stock in 2025? And are there any employee or insider ownership restrictions on TFG preventing you from doing so. So firstly, to cash on hand, as you'll have seen from the presentation, our cash on hand is negative. As at the year-end, it was minus $339 million i.e., net of all flows. Our net borrowing at the fund level was $339 million. That's financed by a revolver of $400 million, and we do also have short-dated loans against illiquid securities. So in terms of how we feel at the moment, we don't feel we have any cash on hand as it were currently. But notwithstanding that, as it purports to buybacks, and I think, yes, in general, we see buybacks as a good use of cash, especially when the discount is wide. I think we would all agree. We believe they don't solve, the issue of a persistent discount. And I think, there's a lot of evidence from not just ourselves, but many other closed-end funds in the U.K. However, putting that to one side, they can be very accretive to NAV per share. And in fact, historically, the company has spent about $860 million on buybacks, and that's obviously in addition to the dividend, which have been about $890 million since IPO. And I would imagine, therefore, if the discount persists that we would expect to do more buybacks, as and when we have a better cash position. The second part of the question was insider ownership restrictions. And the answer is no. There are no restrictions that I'm aware of. And as a reminder, and that's partly, that is the case, because they're nonvoting shares that are traded in the public domain. A third theme is on Equitix. And the first question is, can you please update shareholders as to the current status of any Equitix transaction? And I think what I'd like to do is point you to the annual report, which was issued this week, because I can only say what we said in that annual report. And that is - we've engaged with strategic partners, and financial advisers to explore options, and I'll leave it there. But the second question on Equitix is on valuation, and I'll read out the question, but pass you over to Paul for the answer. And the question is on December 31, 2024, the value of Equitix represented over 26% of the total NAV, based on which financial parameters, price to earnings, book value, et cetera, do you value this position?
Paul Gannon: Yes. So the valuation of Equitix utilizes two approaches that a discounted cash flow, or DCF approach, and also a market multiple approach. The DCF utilizes a waste average cost of capital, discount rate of 10.5%. And the market multiple approach has a 10.75 times multiple EBITDA, but this rises to approximately 12 times, after factoring in the net control premium. More information on the inputs and sensitivities, can be found in Note 4, of the audited financial statements.
Paddy Dear: Thanks, Paul. A couple of questions on our peer group. And they - well, the first one we just followed, who do you consider to be your top five to seven peers in the publicly traded asset management space? And I think that - I mean, the simple answer to that is we're not and therefore, don't consider ourselves to be an asset manager. Tetragon is a closed-end fund. It has an external manager, and it has an investment strategy, and investment objectives. And as part of that strategy, Tetragon owns asset management businesses through TFG Asset Management. But to be clear, Tetragon is a closed-end fund. It's not an asset manager. But there is a second question here that tackles a similar issue. It says I've been patiently waiting, for the discount to NAV to narrow. I would appreciate additional disclosures, on how management plans to close the gap, so that we're more aligned with our peers, including publicly traded U.S. asset managers such as KKR, Blackstone, Apollo TPG? So at the risk of repeating myself, I think it's important, it's not just semantics. It's important to understand, Tetragon is a closed-end fund. And if I quote from the annual report, we seek to provide stable returns to investors, across economic cycles and market conditions. We then point out later in the annual report that, we're trying to compound positive returns, and I think people are aware that our target is for a net 10% to 15% increase per annum. But once again, I think the important point here, is the stress that Tetragon is a fund, and not an asset manager. And as a consequence, Blackstone, KKR, Apollo, et cetera, are not our peer group. Obviously, we do own asset management businesses through TFG Asset Management, but these are investments in the fund, and they're held within the fund. So maybe answering the question slightly differently, as to who do we think our peer group are. And I think really, the answer is anyone who is trying to give investors positive risk-adjusted returns, over long periods of time, with low beta and thus low correlation to market. I think anyone that is trying to do that, is we feel we're in - that is our peer group. Just I didn't - we've got another question on valuations I thought I'd take it back to Paul, and it was on Ripple, which I sort of touched on with broker marks, but to give you more color on that. The question is you have Ripple Labs marked at a discount? Can you discuss the valuation process in detail? So I thought it'd be worth getting Paul to say a few words on that?
Paul Gannon: Sure. Yes. I mean it's quite a sync to answer in a way. I mean there's an active secondary market in in Ripple shares. And at year-end, we valued the position, utilizing broker quotes. That's really in a nutshell, the valuation for Ripple at year-end.
Paddy Dear: Thank you. Another question on the insurance market. The question is, have you done anything recently in reinsurance given the opportunity set? And I think - forgive me if I'm misinterpreting this, but I think this is referring to a lot of alternative asset managers have teamed up in multiple of different ways, with insurance and reinsurance companies to manage assets on behalf of the insurance companies that, in many cases. Have fixed liabilities with the like of life insurance, or variable liabilities with other types of insurance. And the answer is we've kept a very close eye on that market. We obviously take note to what other people are doing, but there's nothing that we have felt that's applicable to us, mainly because of the type of assets that we have currently under management. But we're well aware, of how that market is evolving. There's a question - well, I didn't mean to gloss over it. One of the questions I read out earlier, did say about the discount to NAV? And I think it is always worth approaching this, because it's incredibly important topic. But having said that, I think as always, we would say in our view, there is no silver bullet, if you will, for closing the discount to NAV. I think currently, the U.K. closed-end fund industry, is having a particularly tough time with a lot of funds trading at wide discounts to NAV. That's absolutely not an answer, and not an excuse. And you rightly asked what are, we doing. But I think that is the backdrop that many of you, are sort of well aware of. So I think from our perspective, we continue to subscribe to the same thing. One is at the risk of stating the obvious, we need to create more buyers than sellers. And we think the single most important objective in doing that is creating performance. Once you've created performance, you need to do it again and again, and compound those positive returns. And so, you're driving value primarily through performance. The second thing that we are trying to do, is make sure that every year, we are also improving our ability, to generate future performance. And by that, I mean we're sort of improving what I might consider, to be the engine that's idea generation, sourcing, underwriting, risk management, et cetera. I think also people need to understand what we do. I explained why we do it, how we do it, what we do and to help us educate the market. We have JPMorgan and Jefferies as our joint brokers. We are, as always, out there seeing investors, shareholders, potential shareholders. It's about the quality of reporting, making sure that people understand, as I say, what we do in a clear manner the annual report. We hope people fear that the continued work in progress, continued improvement, but we've also have monthly, we have the website, et cetera. And lastly, but perhaps as importantly, or most importantly, dividends and buybacks, returning capital to shareholders in strategically sensible ways, to increase value to shareholders. So those are all the things that we are doing. And - but I'll come back to the first point, we don't see that there's a single silver bullet that solves that problem. There is a question on - well, let me just read the question, insider employee ownership has been growing steadily, and is now approaching 50% of the company. You were in your 60s. I guess that is referring to me. And Reade will soon be joining you. As the two of you control the company, what is the end game? And I would say, in various different ways, we get asked this question a reasonable amount. Our answer has always been the same and remains as follows. I think you asked either Reade or I or indeed, Steve or anyone else who's been at the company a while, I think we'd all say we absolutely love what we do, and we don't see changing that anytime soon. I think anyone involved in investing know how competitive it is, how exciting it is, stimulating and in some cases, addictive it is. And I think we love doing that. We love continually learning and reassessing what we do. And so, I think the answer to the question, is we don't expect to change what we do. We expect to continue to be investing, with our goal of compounding positive returns. And I think as and when we have excess cash, we look to buy back shares, assuming the discount still persists. So I think that is what you should expect from us. And last question here, is just on allocation to new asset classes. The question is, you mentioned on Slide 18 that you hope to make allocations to new asset classes. Can you already elaborate at this stage? I think the answer is no, because almost by definition, we don't know the new asset classes until we've negotiated, and found the right team. And there's nothing pending, or there's nothing that we have to announce. But we have through last year, we did build out a team investing in Life Sciences, which, as I think most people know, we've been involved in for best part of 10 years. And we feel we're getting more expertise in-house, and therefore, perhaps would expect that asset class to increase a little bit, over 2025. But outside of that, I would - you should expect us to be opportunistic if opportunities arise. And that completes the questions. So thank you very much for joining us. And we'll leave it there. Thank you.
Operator: Thank you. This now concludes our presentation. Thank you all for attending. You may now disconnect your lines.